Operator: Thank you for standing by. This is the conference operator. Welcome to the Heritage Global Inc. Fourth Quarter and Year-end 2022 Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to John Nesbett. Please go ahead.
John Nesbett: Thank you, and good afternoon, everyone. Before we begin, I’d like to remind everyone that this conference call contains forward-looking statements based on our current expectations and projections about future events and are subject to change based on various important factors. In light of these risks, uncertainties and assumptions, you should not place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. For more details on factors that could affect these expectations, please see our filings with the Securities and Exchange Commission. Now I’d like to turn the call over to Heritage Global’s Chief Executive Officer, Mr. Ross Dove. Ross?
Ross Dove: Thank you, John. Good afternoon, everyone. Welcome to our fourth quarter and year end 2022 earnings conference call. Let's start the call today with Brian Cobb, our Chief Financial Officer, who will discuss our financial forms. Brian, you’re up. 
Brian Cobb: Thanks, Ross. We closed 2022 with strong operating results in the fourth quarter, which included operating income of $3.1 million, improved profitability and EBITDA of $3.3 million driven by solid results from both our industrial and financial asset divisions.  Additionally, for the full year ended December 31, 2022, we achieved record net operating income of $11.1 million and delivered full year earnings per share of $0.42. Throughout 2022 activity and our industrial assets division showed continued momentum, and we closed out the fourth quarter with a 310% increase in asset sales to $6.5 million, compared to asset sales $1.6 million in the fourth quarter 2021.  Our industrial assets division sees increased activity as more businesses scale down their operations, and surplus assets and equipment becomes available for sale. A challenging economic landscape often accelerates auction activity as companies look to responsibly dispose of assets.  Our financial assets division is benefiting from increased volumes as the economy has slowed, and pandemic related stimulus checks have dried up, causing consumers to more frequently rely on credit cards and installment loans to make purchases. Predictably, as consumer debt grows, so does the volume of charge off consumer loans being sold by financial institutions, and we anticipate that we'll continue to see increasing asset flow as we move through 2023.  The current economic environment is producing encouraging tailwinds that we believe position both our divisions for continued financial success.  Turning to the financial details for the fourth quarter, consolidated net operating income more than doubled to $3.1 million as compared to $1.4 million in the fourth quarter of 2021. Based on the past several years of taxable income and projected operating results for the next five years, the company determined that it is more likely than not that it will utilize a significant portion of its net operating loss carry forwards and thus really 7.1 million of its valuation allowance against his deferred tax assets.  As a result, during the fourth quarter of 2022, the company recognized an income tax benefit of $6.8 million compared doing income tax expense of $0.4 million a year ago. Net income was $9.9 million or $0.28 per basic and $0.27 per diluted share compared to net income of $1 million or $0.03 per basic and diluted share in the fourth quarter of 2021.  EBITDA of $3.3 million was significantly improved as compared to EBITDA of $1.5 million in the fourth quarter of 2021. And adjusted EBITDA grew to $3.4 million for the fourth quarter of 2022, up from $1.6 million in the fourth quarter of 2021.  For the full year 2022, we achieved record consolidated net operating income of $11.1 million. Operating income in our industrial assets division increased 168% to $9.2 million in fiscal 2022, compared to $3.4 million in 2021. In our financial assets division, we saw growth of 193% to $5.9 million in operating income compared to $2 million in prior year.  Our balance sheet remains strong with stockholders equity of $48.3 million as of December 31, 2022, compared to $32.6 million as of December 31, 2021, and net working capital of $7.7 million.  With that, I'll now turn the call back over to Ross.
Ross Dove: Thank you, Brian. So this is a great time to be the CEO of Heritage Global. Numbers don't lie, and it's, I got to be honest, a lot of fun to stand here today, and be able to tell you how proud I am of our team, how proud I am of our company, and how thrilled I am with last year's results.  So let me give you some color into the future, or at least into how our team looks at the future. One of the most common questions we're now getting is that was incredibly great. But what we really want to know, is was 2022 an anomaly or is 2022, the beginning of ongoing continued growth?  And if there is ongoing continued growth, how long is that growth sustainable for? Those are the real questions that even I as an investor would most want to understand.  So let me kind of go over why I'm very, very confident in the short term, and the reasonably long term that we're going to achieve a lot of success. The reason that I'm confident is right now, we've hit the sweet spot in the sectors that we are most prominent in and most successful in all at once, we simultaneously have growth across both industrial and financial.  So in financial, here's what's really interesting. Consumer spending is at record levels, but really, what's more important than consumer spending, being at record levels is our sweet spot, which is charge offs, which is selling credit cards, which is selling auto loans, which is selling FinTech loans, all of those sectors are fastly growing in asset supply. I told you over and over again, that asset supply is the key to our success, the more we can sell, the more profit we make, our systems are in place to sell more, and we're now getting more, and the demand from the buyers is steady.  If you look at it right now, you see that auto loan deficiencies have been growing month after month, quarter after quarter. Credit card defaults are growing, our volume is growing. When that volume grows, our lending practice grows with it because the people that are buying that product, need our services and so we're putting out more capital, and the more capital we put out the higher return.  So that kind of tells you what I think for now, I think that's a trend that's got several years of tailwinds behind it. I think that we're just working through the beginning now of the rising consumer spending, and we will grow this year and next year.  On the flip side of that, if you move over to our industrial asset division, right now, in the industrial asset division, you're seeing not just in tech, but across the board, people trying to right size manufacturing, people trying to right size their companies, and you're seeing headcount reductions, headcount reductions, or as they call them, layoffs, produce auctions three, six, nine months after the announcements.  So all of these layoff announcements you're now seeing, it takes two, three, four months to effectuate the layoff, and then afterwards, people look at the back end of the supply chain and say what is surplus and how do I get rid of the surplus, in this economy, nobody wants their surplus to go in the landfill. So more and more of them are using industrial auctioneers, we think that's a sustainable trend that's going to grow for several years to come.  So when I look at industrial, and I look at financial, I say to myself, this is not an anomaly. We're in a growth period. It is rock solid company at the right place in the right time. I have a pipeline that I can look at, that is not always all year long. But I can tell you now, sitting here today, looking at the pipeline, that this quarter, this is after a great record Q4, this quarter, we are off to a flying start for the year. And when I say a flying star, I'm talking two, three times what we made in the same year last year.  So if you look at this year's Q1, and you look at last year's Q1, when we're all done, and we announced it, you're going to say this company is flying high.  So I'll leave that I'm not trying to sound too arrogant. But I'll leave that with a thank you for all of you listening. And stick with this because this is a good time for Heritage Global. Thank you.
Operator: [Operator Instructions] Our first question is from Mark Argento with Lake Street Capital Markets. Please go ahead.
Mark Argento: Hey, Ross. Hey, Brian, congrats on a strong year. Just hoping, to got to drill down a little bit. Ross, you talked about just increase in asset flows. Is there any way that kind of help us quantify, how many more portfolios are you guys seeing now on the NPL side or NLEX side? How many more auctions, are you guys doing? Any kind of KPIs or operating metrics that you can point us to that that can really just help us better understand what's going on in terms of the volumes?
Ross Dove: So let me give it to kind of an abstract way, because these are not numbers that we report. And they're not metrics that we put out in our filings. But just at a flying at a 10,000 feet level looking at them, I can tell you this, that on our financial assets side, clients that we had pre pandemic, clients that we maintained through the pandemic, and are now operating with now are back to and in many cases, above the levels that they were at before we went into the pandemic, most of those companies, the volumes were cut in half during the pandemic.  And so that's probably 60% of the companies we're doing business with. The other 40% Mark are companies that are now really starting to come on board with this, as we've grown, the amount of companies using our platform to growth into companies using our platform is really starting to take off now. Because the companies that we're selling direct, we're basically getting a certain price for the assets. And there's been price point pressure now, after the pandemic, on what people were paying for the assets.  So when they were just selling to one client, they're now moving into wanting to have a more transparent marketplace and using us greater. So that's fresh data. But right now, financial assets at the charge off level aren't selling, not at the premium they were when there was a shortage in the pandemic, but back to normalized pricing. 
Mark Argento: Alright. And then can you -- so on the industrial side, and this is kind of in the context of thinking about, the scalability, the ability for you guys to grow without having to add a lot of costs, incremental costs. I'm assuming on the NLEX side is a little bit more scalable and as much as you don't have to put another team out on the road to trying NLEX assets, obviously it's digital. Maybe just talk about the scalability of both businesses. Do you need the…
Ross Dove: The industrial auction business, it had giant leaps already, the giant leaps, and this is from the old guy who grew up in the business is that you're not calling bids anymore, and you're not deploying a bunch of auctioneers, and you're not asking all the buyers to get on planes and fly to the planets. So they took a little bit of the fun out of it if you're talking to an old auctioneer, but it made it massively scalable.  Because Ross and Kirk Dove when they were running the shop could only do one auction in one day. Nick does running a shop now they can do eight auctions in one day if he gets enough supply. So the buyers don't have to travel now, so the buyers can bid at seven or eight auctions in one day, versus if they traveled they could only bid at one.  So industrial auctions is really like 100x scalable from the days I started in it. And so the only cost that is really variable at this point in time is the cost of the operations into the business, which is a headcount costs to physically send the people out to do the tangible work on the front end, basically writing the specs, and then the work on the back end working with the shippers and the riggers and the safety and the hazmat checking it out.  So the bottom line is, it can grow exponentially by not adding a bigger sales force, if you have the marketplace, not really adding more people in finance, or more people in marketing, or more people at the sea level, but adding more people at the operations level.  So we think one of the real great things about this company, is we can do two, three times the volume across the entire spectrum of services with a very limited amount of OpEx expenditure. So we think we've hit the time of real operating leverage.
Mark Argento: Great, and then maybe one for Brian, just to change it up a little bit. So when Ross says two…
Ross Dove: Ask him a harder one Mark, you asked me softballs, give him the tough one.
Mark Argento: So, when Ross tells us, they're off to a flying start 2 to 3x better than Q1 last year. So 2 to 3x better on what, on revenue, on operating income, on everything? That's not a softball. I don't know what it is? 
Brian Cobb: Well, so when Ross talks about 2 to 3x times last quarter, he's usually referring to operating income. And so that position that he's taken is, is absolutely a reasonable position based on what we're looking at right now.
Mark Argento: Great. All right. Ross, you pass. Congrats. Thanks, guys. Good work.
Operator: [Operator Instructions] This concludes the question -- pardon me. Our next question is from Michael Diana with Maxim Group. Please go ahead.
Michael Diana: Okay, thanks. Hey, Ross. So you're talking a lot about your financial assets, you're mostly talking about, I think, auctioning up charge offs. What about the financing end of that? I think that's going pretty well, too, isn't it?
Ross Dove: Yes, so what happened is, during that pandemic, there was not enough supply to really fill our specific on boarded buyers, a lot of that supply was going to the multibillion dollar public companies in that business, who really didn't need our capital. They have a very low cost of capital. Now that the markets have opened up, the 25 guys we've on boarded, are now buying more fully more portfolios. So there's a lot bigger need for us.  So our funding is been growing over the last three quarters, basically, kind of tied to the volume also growing on the selling. So there's really kind of an empirical truth that the greater the volume is, the more the need for our services are. So as the volumes keep growing, we're going to have to have to need more and more capital and keep funding more and more capital.  The good news is we get back more and more monthly remittances. And we have free cash flow that we can keep deploying, so there is constant growth there. As long as we stay profitable, and get back the remittances, we think we can grow it really year-over-year.
Michael Diana: Okay. And I assume because of our interest rates you're doing you're probably charging more to your borrowers. Is that constraining this business at all or not?
Ross Dove: No, the truth is that we haven't really raised our capitals for store buyers that interest rates have went up. But since we've been really deploying free cash flow, we haven't really had to borrow a lot of money in order to fund a lot of these deals. A lot of them are self-funded, and our ROI has been steady enough on self-funding.  Obviously, as our cost of capital goes up, like any traditional lender in any marketplace, there's going to be a pass through of the cost of capital, that we're not looking when the cost of capital goes up to in any way gouge anybody or in any way get a premium on our cost of capital. What we're looking to do is be a fair ethical lender and get back basically our cost to capital cost.
Michael Diana: Okay, great. I appreciate it. I'm looking forward to your first quarter report.
Ross Dove: Thank you. So do we. We're anxious to get it out. And we're working hard to make it a good one. You have a great day, Michael.
Michael Diana: Thanks. 
Operator: This concludes the question and answer session. I'd like to turn the conference back over to management for closing remarks.
Ross Dove: Hi, this is Ross. On behalf of myself and Brian and the entire team here at Heritage Global, we'd like to thank everybody for participating. We'd like to thank all of the current investors for sticking with us. We're highly appreciative, we're easy to get a hold of if you have further questions. So feel free to reach out at any time, and we'd love to talk with you.  If you're a new investor and would like more information before you decided to jump on board, we're available on a regular basis to talk with you too. So we just want to let you know, we're thankful and we're here to try to do everything we can to get you the right information so you understand our company, and we'll keep on working hard. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.